Operator: Thank you for joining us on the call today. Before we begin, I’d like to announce that we will be referring to today’s earnings release which was sent to the news wires earlier this afternoon. I’d also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are fully discussed in the Company’s filings with the SEC and SEDAR, and the Company does not assume any obligation to update information contained in this call. During this conference call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of or as a substitute of or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the Company’s financial statements filed with the SEC and SEDAR.
Fred Vandenberg: Thank you. And thanks to everyone who’s joining the call. I will turn it over to Sam and Glenn. Sam will talk about our financial results. And then Glenn, we’ll get into some business development activities. And then, I’ll jump back on and talk about more forward-looking things and what we’ve been -- what our strategy is. So, with that, I’ll turn it over to Sam.
Sam Ritchie: Thanks, Fred. Our activity levels in the second quarter of fiscal 2021 continued with high activity levels, with second quarter revenue of $931,000. Play MPE currency adjusted revenues increased by 11.2% for the second quarter, compared to the same quarter last year. For the quarter, foreign currency fluctuations boosted our Play MPE revenues by a further 4.4%. U.S. independent revenue increased by 22.6% in the second quarter to $334,000 from $273,000 in the prior quarter -- in the Q2 2020. In the quarter, global independent revenue increased by approximately $93,000 to $407,000 from $314,000 in Q2 fiscal 2020 and an increase of 29.7%. For the six-month period ended February 28, 2021, revenues increased by $202,000 or 10.9% to $2.054 million from $1.853 million for the period ended February 29, 2020. Global independent revenue increased by approximately 264,000 or 35% from the six-month period ended February 29, 2020. Gross margin for the second quarter remained consistent at 90.1%. Operating expenditures decreased by 3.6%, approximately 33,000 for the fiscal quarter ended February 28, 2021. Operating expenditures for the six-month period ended February 28, 2021, decreased by $103,000 to $1.654 million, compared to $1.757 million for the period ended February 29, 2020. After adjustment for non-recurring staff restructuring expenses, operating expenses increased by 3.3% due to investment in business development, marketing, product design and development staffing to accelerate development and revenue growth. Adjusted EBITDA for the second quarter was positive versus a loss in the same period in the prior year. EBITDA grew to $296,000 for the six-month period ended February 28, 2021. As at February 28, 2021, we held cash reserves of $3.012 million and had working capital of $2.717 million.
Glenn Mattern: Thanks, Sam. Hello, everyone. Q2 2021 saw the highest level of revenue growth since Q3 2011 at 15.6%. I’d also like to note that that’s the highest second quarter revenue in our Company’s history. Activity levels continue to impress. The number of releases, which is a unique piece of music content with a company metadata uploaded into the platform, increased by 10.59% over the same quarter in 2020, 6.21% year-to-date. Since -- or the number of destinations selected grew by 34.9% over the same quarter in 2020 versus -- pardon me, 30.2% year-to-date, and the number of tracks within each release grew by 46.3% over the same quarter in 2020 and 41.4% year-to-date.
‘: As the year progresses, we continue to improve our marketing initiatives which began early in 2020. With increased social media postings, posts, including testimonials, articles and industry publications, alignment with thought leadership through blog posts and interviews with industry experts and strategic conference and event sponsorship, the marketing team also created marketing materials such as videos to explain the many features of our platform and continuously manage website improvements. These efforts are improving to provide a healthy increase in lead flow. Our inside customer service and technical support staff are responsive and reliable, and help support customer retention which supports the growth we have seen over the years. We continue to see -- receive overwhelmingly positive feedback on both sides of the platform, citing key benefits such as great customer service, ease of use, speed and reliability of the platform, strength of our distribution lists, and our reporting features. We continue to improve our product in both the senders’ tool -- and both the senders’ tool, pardon me, which we call Caster and the recipient experience in player. Some of you may wonder about the effects of global pandemics and the lack of touring of artists, if that’s had any effect on revenue. While this is unknowable, we don’t believe this is farming material portion of our growth rate.
Fred Vandenberg : Thanks, Glenn. Since we refocused our efforts back on the plan B, the investments in our platform have really been about building out existing capabilities; building them so it’s easier for us to expand, easier for us to build on additional functionality from a longer term product roadmap. It was only two and a half years ago that we moved our distribution side to a web-based tool. That’s not to say we haven’t added a lot of functionality because we have, just running through a list is we’ve had added localization capabilities that allows translations and we translated our sending site software into Japanese, German, French and Spanish in addition to English. Our recipient site is translated into several more languages. We’ve added mobile apps, we’ve added more intuitive distribution tools, we have had a more powerful promotional content builder. We’ve added mobile notifications, so that if you have the mobile app, you can get the notifications instead of an email. We’ve improved our song or artists search capabilities. We’ve had greater global redundancies. We’ve more deeply integrated into Universal’s content management and distribution process, and we’ve expanded recipient integrations. But generally, the core of what we are doing is generally the same. Our platform has always been the most sophisticated and powerful platform out there. We have different modules and components to the platform. We have a staff manager, a label manager, a list manager, and asset manager, release sharing modules that are really -- cater to an international label with international marketing efforts. We have, like I said, multiple languages. We provide recipient lists in several countries. We have server redundancies around the world to reduce latencies. And this is why we have Universal Music as a customer. This is why we have a global agreement with universal. I will comment on that agreement little later. As much as Universal forms a large portion of our revenue, about 40%, the plan B provides a core functionality in their promotional efforts and is really a backbone to their promotional efforts. We don’t think there’s any competing systems with anything remotely close to being similar to the functionality that we do. So, when someone asks us why Play MPE is better, that’s sometimes where it’s a little challenging to know where to start. This is also why we’re investing in marketing and business development staff, so they know where to start.
Operator:  First question comes from Andrew Taylor,  private investor.
Unidentified Analyst: Hi. Thanks. Hey, Fred, great quarter, because usually that’s your slowest quarter. So, I want to congratulate you on that and your team. Can you expand maybe just a little bit on the Canadian markets? Basically, where you feel you are right now? How much more you need to go to maybe take it over to some extent from your competitor?
Fred Vandenberg: Yes. Okay. I don’t know where to start on that. I think Glenn talked about a lot of activity numbers, and we continue to see improvements on it. We continue to get positive feedback on the platform. And we’re aware of a lot of advantages that we have, but it is an entrenched competitor that I guess I tried to allude to how that -- how we approach a new market in the preamble here. But, if you’re just looking at just isolated market without our global advantages, we’re still a much slicker platform, for the lack of a better word. But it’s really that we do so many things better. And it’s really a question of whether those things matter to display some competitor, entrenched competitor where everybody’s been working with for 15 years or something like that. We think it is, we think we continue to see movements on it, but it’s just a matter of keeping at it. Last year, I had talks with their CEO and former CEO now I guess, and about a possible combination. But, the two companies are -- I think have different philosophies. They do four things. They have a ad business; they have a music video distribution business; they have a music voting platform business; and they also do audio deliveries. And they’re really four distinct businesses, even though there’s overlap with music. We wanted to focus on one thing and do it well, and we invest a lot more than they do. I don’t think those conversations were particularly fruitful. I don’t think they were grounded. In fact, if you follow the space closely, you might have seen that they issued a press release in September last year that talked about this download feature that didn’t require download of songs, that didn’t require installed software to get a secure download and they said in the press release that this was the only -- they were the only ones to do that. They had to issue a retraction shortly after too, because we’ve been doing that for even in the most narrow view of things for in excess of seven or eight years. I can’t remember exactly. But we’re -- I don’t know if that press release was issued in honest there or not, or just a lack of knowledge. But, it just shows you the depth of those conversations was not going to lead to a combination. But, we think -- it’s taking some time, but we think we’ll eventually displace them. 
Unidentified Analyst: Okay. And how -- just kind of curious, how has the COVID situation affected your business at all, and if it has, maybe it hasn’t, but I’m not too certain, because it doesn’t look like it?
Fred Vandenberg: I think, at the beginning of COVID, we actually -- I thought there was some potential for a lack of touring artists to increase the content, because they’re not touring or writing or whatever. But that really has not seemed to flush out. And I mean, we’ve grown in any way. I mean, because we’ve really captured new markets or started to capture new markets. We’ve had more people in new markets sending internationally, because we have the cubic capabilities to do that. I think, Glenn touched on this quite well. But, our growth is really absent that. So, I don’t expect to it to have a positive impact and expect when it when it resolves, that it’ll have a negative impact on the site. I don’t think it impacts us much at all. We’ve had -- now we’ve had a couple of staff contract COVID. And thankfully, they seem to be on the mend. My concern, there is more of a personal nature than a business aspect. I don’t think -- we’ve vastly improved our group. So, we’re not so reliant on one individual, but at the same time, this is isn’t ideal for us. But it really hasn’t been an impact, other than maybe were -- we’ve had adjustments in terms of doing Zoom calls, and the day-to-day communication is a little different, and those kinds of things, team building. Thankfully, we’ve -- the core of our team was added prior to that. But Glenn and Sam and a few others, bunch of others now, but have all joined the team post-COVID and seem to have really been integrated into the Company very well. So, we’re doing well, I think.
Unidentified Analyst: Okay. Well, that’s good to hear. I guess my final question. There was recently a Seeking Alpha article. I’m not too sure if you had an opportunity to read it or not. And I guess sort of spoke about the fact that Destiny has about -- currently about 10% of the market, global market. And I believe you and your team have alluded to that over the past quarterly calls as well. What sort of timeframe do you feel that you can really ramp up getting into the other 90% of the global market?
Fred Vandenberg: That’s a good question. That’s hard to predict, obviously. I think, we’ve done well over the last little while to start to establish new markets, like Canada, for example. I think we’ve made a -- we do have quite a repertoire of active recipients now, active flow of content. Latin, we’re just starting, like Glenn said, but we’re doing quite well at establishing new markets. And there’s quite a number of Spanish speaking countries. And we’re starting to get distributions in a few of them now. So, those things just take a little bit of time. It’s never as fast as we want it to be. But really, over the last few years, it’s -- we had some catching up to do with the platform to make it easier to sell. Just moving it from a PC-based to a web-based, which happened 2 years ago, 2.5 years ago, was a major component to it. But over -- since that time, we’ve completely improved the distribution side. And now we’re going to be freeing up some staff time to add things that are a catalyst to it. So, I’m not really sure that answers your question directly. But, I expect that our growth over the last little while has been almost in spite of ourselves, in spite of our platform and -- I didn’t say that well. But the platform is becoming easier and easier to use. It’s translated into more and more languages. We’re going to add functionality to it that I think we’ll speed this process up.
Operator: Your next question comes from Gerry Wimmer with Investorfile.
Gerry Wimmer: Several questions. First, your OpEx for the second half of this fiscal year, first half was about $1.6 million; second half, similar, no higher lower? Do you have any feedback on that?
Fred Vandenberg: Pardon me. That’s a bad time. I just took a sip of water and it went down the wind pipe.
Gerry Wimmer: No problem.
Fred Vandenberg: Sorry about that. It just stayed a while here. Our OpEx is probably going to increase. We are targeting breakeven in terms of our go-forward spending. We continue to recruit. We see tremendous opportunities for growth. And we are adding business development people. We’re adding engineering staff to speed up the process of product development. I don’t have a projection, per se. When I say we’re targeting breakeven, I think that’s our ideal, like, we will continue to grow because we see such great opportunities to grow. But I don’t think we can add expenses as quickly as our revenue is growing right now. We’re not going to just add more bodies. We’re going to add quality people. So, I think we’ll still be profitable going forward.
Gerry Wimmer: Fair enough. When it comes to the independents, obviously, you got traction from independents, various genres and various jurisdictions. And how do you -- do you measure retention? I mean, when somebody uses your product, how often do they reuse it -- and send it?
Fred Vandenberg: Yes. In terms of -- that’s typically what people call churn in a SaaS-based business? That is a little bit more challenging to assess with us because if you have a release, if you have a song, you distribute it; if you don’t, you don’t distribute it, obviously. So, assessing churn for us is difficult. I think it’s very low. We typically see customers come back over time. And I think that’s why you see independent growth in the U.S. It’s -- once we established our markets, our growth rate was almost like clockwork around -- between 9% and 10% quarter after quarter after quarter. And the reason is because we keep our customers. It doesn’t mean that customers don’t go out of business or record labels don’t have releases in a particular month or whatever. But it’s -- we generally keep our customers and our churn is low. In the future, when we add aspects that are probably truly SaaS, we’re kind of a hybrid between platform-as-a-service now and a software-as-a-service. I mean, I think we’re probably -- if you argued one, I wouldn’t be able to argue against it. But we will add functionality that will be more truly SaaS I think shortly, and then you’ll be able to see probably a little bit more accurately what the churn rate is. But it would be low.
Gerry Wimmer: Okay. When it comes to the majors to penetrate more of that market or specific majors, who are you displacing, and is this somebody different in every jurisdiction, or can you give me a little color on that how that works?
Fred Vandenberg: Yes. Okay. So, our platform really is built to -- for an international label. And that would, I think, include majors as well as major independents. So, the big 3 are the big 3s, Warner Music and Universal and Sony. So, if we expand with them, it really depends on the market that we don’t really see anybody with a true international presence. We don’t see anybody with recipient lists that we have. Like when we talk about independent revenue growth, partially our independent revenue growth, partially coming from global sense, it’s because we have the capacity to send. If you are in the United States, and you decide that you’re an independent label and you want to hit South Africa, we can do that for you. Similarly, in Canada, if you want to send to the United States or the UK, you want to send in the United States, we can do that. We don’t see that this competitive platforms out there or systems. We generally bump into one in a particular territory, like our Canadian competitor or competitor in Germany or Spain or whatever, you see unique competitors.
Gerry Wimmer: Okay. And finally, obviously, the stock has kind of firmed up, is it -- I mean, how has been some things written up about the Company Alpha -- Seeking Alpha, as a previous caller mentioned. Has there been any other IR activity happening outside of some of the write-ups that have been incurring, or can you give any color on why the stock is up, or is it just market conditions or you’re getting inbound calls? Give me a little color to that.
Fred Vandenberg: I think, you are aware that I did a presentation for the Micro Cap Club in late September?
Gerry Wimmer: Yes.
Fred Vandenberg: That’s really the only true IR presentation that I’ve done. We are looking to do additional things that I’ve just been -- I’ve been trying to plan for attracting the right investors, attracting long-term hold investors. But, if you were to ask me if I’ve done something since the Micro Cap Club, I’ve not done anything new. I think, the rebound in the stock is partially due because we -- in Q4, we had almost 8% growth; in Q1, we had over 8% growth, almost 9%; and now, we’ve had over 15%. It’s a little bit helped by exchange, but we’re still growing that revenue run rate. But also, I think one of the biggest things is simply that looking back, our price was a little bit silly. That was -- it’s always easy to justify a price. You can look at things. And I think sometimes when people look at a stock, it’s almost a self-fulfilling prophecy. If it’s going down, people will sell; and if it’s coming up, people will buy. But our fundamentals have been continually improving. I think we are targeting a higher growth rate, but what happened last year is really a function of probably a major seller who wasn’t disclosing his disposition, the former CEO, I think, pretty much sold half its position or all of its position just last year. I don’t think he’s a shareholder in any significant capacity anymore, and he wasn’t disclosing it. And it’s a simple demand and supply, right?
Gerry Wimmer: Yes. And mentioning that any further litigation with the former CEO? I know that was adjourned many times. I did notice on your recent filing that -- and I know to verify that was difficult, but I don’t think he was ever listed as a 5% shareholder anymore.
Fred Vandenberg: Well...
Gerry Wimmer: So, two questions. Status of litigation with your former CEO, and always said he’s not considered an insider anymore. Was there a filing that confirmed that or changed? Just curious how that was determined. It did appear -- or lack, it did not appear in your 10-K filings back in January?
Fred Vandenberg: Yes. I have certain visibility to our shareholders. I believe that he has sold all his shares or all of the vast majority of his shares, rather. And I don’t want to get into why I see that or why -- but he did nominate a new slate of directors back in the fall, again, back in September, I think it was. And he disclosed that he had sold 12% of the Company, so -- and the majority of shares, and he hadn’t disclosed any of that. That I think was understated and wrong for a lot of different reasons. But, it was...
Gerry Wimmer: So potentially, the overhang from that position potentially is not there anymore?
Fred Vandenberg: I would be very confident in saying that it’s not there. And I think that’s why you see the stock price has rebound. I mean, it’s probably a combination of things. I think we’re still fairly inexpensive stock, I would say, but you can debate it at least now, before it was a bit silly. And going back to the other question, we’re scheduled to go to trial for the wrongful dismissal in July. We’ve prepared for that. Whether it goes ahead is probably up to him more than anything. I suspect he’ll probably -- well, I don’t want to predict what’s going to happen, but.
Gerry Wimmer: Yes. And one last thing, I just want to confirm the seasonality. I think earlier, somebody alluded to Q2. And I think that is the case, it tends to be a little lower business activity. How is Q3 and Q4 kind of work?
Fred Vandenberg: Well, like I said, I think we’re doing well. I think we -- all the pieces are in place. I think, the things that we’re doing to grow revenue are still there, better business development, better marketing, better product. I don’t see any reason why our growth will slow down. I just -- I sort of want to manage expectations a little bit because sometimes that growth is going to slow down and sometimes it’s going speed up. And we are, on average, long term, expecting higher growth rates. But, that will probably come after we have developed some real true catalysts to the growth and like product-related catalysts and items that expand our addressable market. We’ve got some things that we’re working on, more of an R&D. Well, I think we’re probably beyond the R&D stage. But, we are working on some things in the background that we don’t really want to talk about until we’re ready to commercialize. But, it’s pretty exciting for us internally, and I think we’ll be able to grow revenue.
Gerry Wimmer: One final question. If you want to point what investors should look at, what metric in the business/ We lately put out more information about these downloads, researches or things like that. What metrics should investors be looking at to kind of equate to the growth of activity?
Fred Vandenberg: That we’ll -- I’ll publish some more -- some metrics on how to look at it. Like, there’s events that you will want to look at and there’s also metrics on distributions and activity rates and things like that. We’re going to publish more information about those things. So, investors can draw their own conclusions. I think, there will be some danger in that. They could be misinterpreted. So, we want to make sure we’re presenting clean and uncomplicated stats. Unless you’re in the business on a day-to-day basis, they can -- you can get lost in the trees as looking at -- as opposed to looking at the forest. But, our releases is -- really tends to be the metric that is -- our releases or distribution are -- tend to be most closely related to revenue, but that’s also on a long-term basis. As we go into new markets, whether it’s Canada or Latin, or you’ll see an uptick in those releases that isn’t commercialized yet. We expect to commercialize it long term, but we’re really seeding the market to create a network of use. And so, we’ll publish more information with that shortly. And so, you can get a flavor of it. But, doing that is -- we want to do that in a way that it doesn’t confuse the marketplace either.
Gerry Wimmer: Are you publishing that in an investor presentation, PowerPoint presentation or something on your website or...
Fred Vandenberg: Well, we haven’t done any of that yet, right? Well, I shouldn’t say we have done any of that. We’ve done some investor presentations in fact sheets or investor decks on our website. But right now, we’re not publishing that information until we do it as a concise but understandable way.
Operator:  There are no further questions at this time. You may proceed.
Fred Vandenberg: Okay. Thanks for everyone joining the call. And I’ll look forward to speaking to you in the middle of July. Thanks again.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you participating and ask that you please disconnect your lines.